Operator: Hello, everyone. My name is Serge, and I will be your conference operator today. At this time, I would like to welcome everyone to Meren's Second Quarter 2025 Results Presentation. [Operator Instructions] Please note that this event is being recorded. The recording will be available for playback on the company's website. I will now pass the meeting over to Mr. Shahin Amini, Meren's Head of Investor Relations. Please go ahead, Mr. Amini.
Shahin Amini: Good morning, and thank you for joining us for Meren's Second Quarter 2025 Results Presentation. I'm joined today by Roger Tucker, our President and Chief Executive Officer; Aldo Perracini, our Chief Financial Officer; and Oliver Quinn, our Chief Commercial Officer. We will begin with prepared remarks and then open the floor for questions. Before we start, I would like to remind everyone that this presentation contains forward-looking statements. These are based on current assumptions and expectations and involve risks and uncertainties that may cause actual results to differ materially. You can find a full discussion of these risks in our regulatory filings available on SEDAR+ and on our website. With that, I will now hand you over to Roger. Roger, please go ahead.
Roger Morris Tucker: Thank you, Shahin. Before going into the quarterly performance, I want to take a step back and reflect on the first half of the year and the progress we've made as a business. We've operated in a dynamic environment over the last 6 months from fluctuations in oil prices to ongoing macroeconomic uncertainty. Despite this, our focus has remained clear, executing against our strategy and delivering long- term value for shareholders. This brings me to our capital allocation priorities, something we've been very deliberate about over the last two quarters. Since the Prime amalgamation, we've made strong strides in aligning the business behind these priorities, starting with shareholder returns. We are firmly on track to deliver our $100 million annual dividend distribution. So far, we've returned $50 million, and I'm pleased to confirm a third quarterly dividend of $25 million, taking total distributions to $75 million by the end of Q3. This is a clear signal of our ongoing commitment to shareholder value and shareholder capital returns. We also remain fully committed to maintaining a strong balance sheet with appropriate liquidity headroom. Following the Prime amalgamation, we have taken a proactive approach to deleveraging, repaying some $270 million of the RBL through disciplined cash management with the aim of minimizing interest expenses. If necessary, we have the option of drawing down under our revolving RBL facility. With an end of Q2 cash position of $266 million and the headroom under our RBL facility, we have substantial liquidity and the optionality to act quickly and decisively to changing business environments towards our goals of value creation and shareholder returns. Overall, we are delivering on what we said we would do, maintaining financial discipline, focusing and delivering on our shareholder returns and ensuring the business remains robust and well-positioned for the future. Looking to the future, it is important to highlight our funded organic growth opportunity set. This slide outlines the catalysts that we see as potential near-term growth drivers for our business. Starting with the Venus development project in Namibia, I am encouraged by the recent positive updates and public statements by the operator, TotalEnergies. We are looking towards the Final Investment Decision possibly during the first half of 2026 with First Oil by the end of 2029. This is a world-class project that will provide us with a long-life production profile and importantly, it is funded through to first commercial production. We have captured the resource base and bridged the exploration to production gap without stretching our balance sheet. Another important Venus catalyst for Meren is that as we get closer to the Final Investment Decision, there will be scope for us to report contingent resources and ultimately reserves as part of our annual NI 51-101 reporting process. Moving to Preowei. We are working closely with the operator and other partners to deliver a more economically robust project. The cost and subsurface optimization work for the project continues, and there are encouraging signs that the project can potentially capture more volumes with enhanced economics. Our Nigerian asset base also provides us with attractive near-field exploration opportunities such as the Akpo Far East prospect. This is expected to be drilled during the next Egina-Akpo drilling campaign to start during 2026. In case of exploration success, Akpo Far East will provide us with an attractive short-cycle project investment that can utilize the existing Akpo infrastructure. And of course, I must reiterate our leading position in the Orange Basin offshore Namibia and South Africa, where as well as our interest in the Venus development, we also have exposure to follow-on high-impact exploration opportunities. Again, these are funded and provide us with potentially transformational catalysts without stretching our balance sheet. In South Africa, we hold an 18% interest in 3B/4B. We are carried for two exploration wells, and we are working with the operator to develop a drilling program. Oliver will shortly speak about our position in Equatorial Guinea, where we continue our farm-down efforts for Blocks EG-18 and EG-31 with the aim of replicating our commercial deal-making success in Namibia and South Africa. Taken together, this set of opportunities gives us clear visibility on future reserves and production growth. I will now hand you over to Aldo to take you through the second quarter highlights.
Aldo Perracini: Thanks, Roger. During the second quarter, we produced close to 31,000 barrels of oil equivalent per day on a working interest basis and 35,700 barrels of oil equivalent per day on an entitlement basis. Q2 volumes were slightly softer than the quarter-on-quarter trend due to the temporary adjustments at Akpo and Egina. These were driven by gas export restrictions and scheduled maintenance early in the quarter, which form part of our broader strategy to ensure the long-term reliability of these assets. Overall, first half 2025 production performance is in line with our expectations and support the midpoint of our original production guidance. At Agbami, production was also modestly adjusted to support flare management and maintenance activity. Offsetting some of this, our two new Egina wells came on stream during the quarter, performing in line with expectations and helping mitigate natural field decline and production adjustments complemented by strong well performance at Akpo. Looking ahead, we will continue to optimize the infill development wells over the remainder of 2025, and the joint venture are progressing a well intervention program aimed at enhancing reservoir production levels. Also, ensuring asset integrity and maximizing production reliability remains central to our operating strategy, underpinning stable cash flow generation and long-term value delivery. Moving on to Slide 7; this quarter, Meren completed oil lifting of approximately 1 million barrels at a realized price of $64.2 per barrel. Year-to-date, we have completed 6 liftings totaling around 6 million barrels at an average realized price of $77 per barrel, which compares favorably against the Dated Brent at $71.8 per barrel. Looking ahead, we have 6 cargoes scheduled for the remainder of the year. Three of these have their Dated Brent fixed at an average price of $64.5 per barrel, while the remaining three are currently unhedged with no pricing mechanism in place. This approach, combined with the sales secured in the first half of the year, provides a prudent balance between risk management and market exposure, allowing us to mitigate oil price volatility risk and still capture potential upside. This gives us a solid and stable framework for cash flow performance into the second half of the year despite ongoing volatility in the oil market. Moving on to the next slide for the financials. To start, please note that our Q2 financials are presented on a fully consolidated basis. The hybrid reporting used last quarter following the amalgamation no longer applies. For Q2 2025, we delivered EBITDAX of approximately $107 million, bringing total EBITDAX year-to-date to around $248 million. Cash flow from operations before working capital came in at $78 million for the quarter with reported CapEx of $30 million. For the first half, that equates to approximately $178 million in operating cash flow and $59 million in CapEx. Free cash flow before debt service and shareholder distributions was approximately negative $19 million for the quarter. For the first half, overall, free cash flow before debt service and shareholder returns stands at approximately $103 million. With that, let's turn to cash management. We closed the quarter with a cash balance of $267 million compared to the opening balance of $428 million at the end of Q1. As mentioned previously, this is primarily driven by RBL repayments made during the quarter, dividend distributions as well as movement in working capital. Given our strong liquidity position following the Prime amalgamation in Q1, we see the opportunity to use our cash position to deleverage the business and proactively paid down our RBL balance by $80 million during the second quarter. This brought our total debt balance at the end of the first half to $540 million and significantly reduced interest expenses. We have paid this down even further after the end of the second quarter. We also paid out our first two dividends of the year. In line with our new payout policy, we distributed $50 million year-to-date in dividends. As a reminder, under the new policy, we have committed to distributing a base dividend of $100 million per year, subject to customary consents and Board approval. As Roger had mentioned earlier, we are pleased to have announced our third quarterly dividend, which will be paid next month. We also had a large working capital movement of approximately $84 million, which comprised largely of movements in our underlift and receivables position. Overall, our approach towards cash management this quarter has been focused and discipline, deleveraging the business and bolstering our financial strength. Coupled with a strong liquidity position, we remain grounded and well-positioned to deliver long-term value to our shareholders. Now turning to liquidity management. As we highlighted last quarter, following the amalgamation of Prime, Meren assumed Prime's RBL facility with an outstanding balance of $750 million at the deal completion. We remain confident in Meren's outlook and maintaining disciplined cash management continues to be a key strategic focus. Deleveraging is a priority for us, and we have taken a proactive approach to reduce debt and interest costs. At the end of Q2, our RBL balance stood at $540 million, reflecting a $210 million paydown since the deal completion. Post Q2, we reduced this further by $60 million, bringing the balance down to $418 million and delivering a meaningful reduction in interest costs. We also canceled Meren's $65 million standby Corporate Facility. This facility has remained undrawn and by canceling it, we will save approximately $2 million in annual commitment fees. At the end of the quarter, we had a net debt of $273 million with a net-debt-to-EBITDA ratio of 0.6x, well below our onetime ceiling, demonstrating our strong credit profile. Going forward, we will remain disciplined, considering how best to strengthen Meren's financial profile and ultimately continue to deliver to our shareholders. Next slide, please. We have revised our 2025 management guidance based on the actual results from the first half. The changes are summarized in the table on this slide. Working interest and entitlement production ranges have narrowed with midpoints for both ranges increasing marginally. EBITDAX and cash flow from operations guidance ranges are revised lower based on a lower full year average Dated Brent oil price estimated at $68.5 per barrel. This compares to the assumption of $75 per barrel used for the original management guidance. The revised full year oil price estimate of $68.5 per barrel accounts for average Dated Brent price of $71.8 per barrel for the first half 2025 and an average Dated Brent price of $65 per barrel for the second half of 2025. We also expect a lower capital expenditure profile, primarily due to the phasing of drilling operations offshore Nigeria with the restart of drilling operations in 2026. I will now hand over to Oliver to discuss the outlook for the rest of our portfolio.
Oliver Quinn: Thank you, Aldo. Let's now move to Slide 12 and an update on Namibia. In the last quarter, the joint venture has continued to work on two fronts. On the first front, work continues to progress the Venus development project towards Final Investment Decision, which is expected in the first half of 2026 with potential First Oil in 2029. The project engineering is mature and the operator has guided to a development scheme with up to 40 subsea wells tied back to an FPSO with a plateau production of 160,000 barrels of oil per day. Once online, the expected production life of Venus is greater than 20 years, and as such, it will deliver a long-term sustainable cash flow to the company. The second front in Namibia is follow-on exploration drilling to fully unlock the potential resource within the licenses. Results from the last drilling campaign are being studied and integrated with the recent seismic data to high-grade targets for the commencement of drilling that is expected in 2026. The current drilling break will allow time to incorporate the recent well results and allow the next well targets to be further optimized. We currently expect the campaign to commence with the well on the Olympe prospect, and it is worth noting that this will test a slightly different geological concept with a 4-way structural closure and as such, presents a different prospect to the stratigraphic traps in Venus and Marula. Of course, and as a reminder, we have the benefit of retaining exposure to these high-impact wells at no upfront cost and no pressure on our balance sheet as all costs, exploration and development will be carried through to first commercial production from the two blocks. Moving to Slide 13 and staying in the Orange Basin, we'll now move to South Africa and Block 3B/4B. Last September, we were granted an environmental authorization for the drilling of up to 5 exploration wells, and the remaining regulatory process is continuing to move forward at pace. With that, the joint venture is planning for the first exploration well in 2026. And currently, the leading prospect for the first well is Nayla located in the northwest of the license area, and this is a prospect with sufficient resource in the success case to underpin a standalone future development. In terms of capital spend, the transaction we concluded with TotalEnergies and Qatar Energy last year will cover Meren's costs for one to two exploration wells. So in summary, across the Orange Basin, we retain a leading independent E&P position with near- term exposure to multiple projects across both development and exploration and of course, without the requirement for any near-term capital funding. Now turning to Equatorial Guinea on Slide 14, Meren holds two licenses offering different opportunities. In board, Block EG-31 offers a compelling low-risk appraisal opportunity that could unlock a low CapEx, short-cycle brownfield LNG project. The block lies in shallow water close to the existing onshore EG LNG facility and contains several gas-prone prospects in areas where historic wells have proven the presence of gas. The second position, Block EG-18 is a deepwater exploration opportunity with material scale oil potential. Recent seismic reprocessing and technical evaluation has unlocked a large Cretaceous aged basin floor fan system with several material prospects identified that sit within the same play that is being actively pursued by several majors across the border in [indiscernible]. Whilst we see significant value in both positions, our commercial approach and capital allocation remain disciplined. And as such, we are running data rooms for both blocks to introduce partners to both risk share and support capital funding. The farm-down process has attracted strong interest, and we are actively engaged in discussions with potential partners on both blocks with the aim of reaching a conclusion on the farm-out process by the end of this year. With the right partnerships in place, drilling activity could take place in late 2026 or 2027. I will now pass you back to Roger for his concluding comment.
Roger Morris Tucker: Thank you, Oliver. It has been a strong and resilient first half of the year for the company. We ended Q2 with about $267 million in cash and a net-debt-to-EBITDA ratio of 0.6x, which underscores the strength of our balance sheet and our disciplined approach to managing leverage. We will continue to build on this guided by our capital allocation framework to further strengthen Meren's financial profile. With our new payout policy now firmly in place, I'm pleased that we have already distributed half of our $100 million base dividend commitment with a further $25 million to be paid next month. This reflects both our confidence in the quality of our cash flows and our commitment to delivering meaningful shareholder returns. Meren today has all the key elements of a balanced business, the ability to consistently return capital, a robust financial profile, high-quality producing assets and a fully funded growth pipeline. These are the foundation that position us to grow the business in a disciplined way while continuing to create long-term value for our shareholders. Thank you very much for your attention. And with that, let's move to the Q&A.
Operator: [Operator Instructions] Our first question is from Jeff Robertson from Water Tower Research.
Jeffrey Woolf Robertson: Roger, given Meren's position with development activity and an exploration portfolio that's pretty robust. Can you talk about the type of acquisition that would best fit the portfolio in terms of future capital and timing commitments? Roger, are you?
Oliver Quinn: It's Oliver here. Sorry, I think we couldn't quite hear the question at this end. Could it be repeated?
Jeffrey Woolf Robertson: Yes. With respect to the notion of being a consolidator in Africa, given Meren's current development and exploration portfolio, can you talk a little bit about what type of acquisition best fits the portfolio with respect to capital outlays or capital obligations rather and timing considerations?
Roger Morris Tucker: Yeah, this is Roger. The type of thing that we would consider, it has to be within the scope of -- the same sort of scope of the assets that we've got. So we're looking at significant fields, if you like, in the production phase and not requiring significant development CapEx. If they've got tieback opportunities and small additional CapEx, we would be interested. But at the moment, we are not of a sufficient size to take on major development opportunities. So it's -- the type of assets that are out there are pretty difficult to find. It's not a great big long list, but we will maintain our capital allocation priorities as we look forward. Does that answer your question?
Jeffrey Woolf Robertson: Yes, it does. A question on Akpo Far East. You mentioned it's a short-cycle time exploration project that's supported by current infrastructure. Is that a project that if it gets drilled in 2026 as a part of your campaign that could be on in 2027?
Roger Morris Tucker: We could only make that sort of call after we see what we've acquired or found, obviously. So in all likelihood, it would be a little longer than that. But depending on the flow rates, et cetera, et cetera, we would look to make it as a short cycle as absolutely possible. But we need to wait and see what the results of the well are before committing to it, obviously.
Operator: Our next question is from Teodor Sveen-Nilsen from [indiscernible] Investment.
Teodor Sveen-Nilsen: Three questions from me. First, on cash flow. You said that -- or you highlighted that you had strong cash flow year-to-date, which definitely is true. So I just wonder at which -- or when in time do you expect to be net debt free, assuming flat oil prices? So that's the first question. Second question, that is on dividend. This year, you guide for $100 million. For 2026, I'm aware of that you're probably not in a position to provide any guidance yet. But how should we think around the 2026 dividend? Should that be a fixed amount, a percentage of EPS or percentage of cash flow or any other measure? Third question, that is on the Preowei development. Could you just remind me of timing for First Oil and also the current resource potential?
Shahin Amini: Thank you, Teodor. I think we'll go to Aldo to answer those questions. So first on the cash flows. And what do you expect to be net debt, assuming Flat Oil price, Aldo?
Aldo Perracini: Yes. So our current facility will mature at June 2029. So that's the current RBL. Of course, between now until June 29, will always be with some gross debt, repaying down the line. I think the important part is that from the beginning of the year until now, we have reduced the RBL by $270 million, right? That's the pace of the cash flow that we generate that we are using to pay down debt while keeping the company liquid. So in terms of being fully debt-free, of course, it will take time. But actually our idea is at some point in the near future to refinance the existing facility and keep firepower and liquidity to pursue our M&A and our growth strategy. So I think that's on the cash flow. In terms of dividend expectation for next year, I mean, we have committed to the $100 million base dividend, which is respective of what we get in terms of cash flow for next year. Of course, to make any dividend distribution is always subject to the Board approval, right, which will be evaluated at a single time. But considering 2026, the base dividend and looking at oil prices and everything that we see at the moment we are pretty confident with the continuance of the base dividend policy.
Shahin Amini: And the third question and for that, we could go over to Roger and Oliver, which is the Preowei development expectations on Final Investment Decision and First Oil Date.
Roger Morris Tucker: Yeah. Thanks, Shahin. So I think as mentioned on the call, there's ongoing work by the operator, which is very active this year in terms of the front-end engineering and optimization, particularly around the resource size and whether there's potential for a relative increase in resource size there. So in short, we expect that work to conclude through this year, and that would present the project for a potential Final Investment Decision next year. You roll forward from there, I think we project a 2- to 3-year development cycle. It's about a 40-kilometer tieback from Preowei to the Egina FPSO. So let's say [ that'll put ] oil somewhere in 2029 First Oil on that basis.
Teodor Sveen-Nilsen: Could you also just remind us of the net resource potential to Meren?
Oliver Quinn: Yeah. So the last numbers in our public disclosure, Preowei from a gross project level was over 116 million barrels, and then we carry 16% of that. So we're about 20 million, 25 million barrels of 2P.
Operator: [Operator Instructions] Our next question is from David Round from Stifel.
David Matthew Round: Firstly, can you please just talk through the thinking around taking an early break from the drilling campaign in Nigeria? I can appreciate, obviously giving yourself more time to look at seismic, look at well performance. But are there any specific things you're looking out there? Because I suppose the lead time between making that decision and what would have been the next well feels fairly tight. And then second one, again on Nigeria. I mean, you mentioned the wells at Egina and the workover at Akpo. Are you able to give us a sense of the kind of production lift that, that could give you in H2, please?
Roger Morris Tucker: This is Roger again. So yeah, the reason for the -- effectively the accelerated release of the rig is obviously, it was the operator's decision, and it was the operator's decision that they wanted to further study the 4D seismic to better optimize future locations. And actually, we are in agreement with that. If you've got a 4D seismic, it is 4D seismic, it is important to make the -- ensure that it is interpreted correctly to optimize your drilling locations. And sorry, what was the second part of the question again?
David Matthew Round: No, I suppose maybe just a follow-up to that is just really you're pushing this by, let's say, 3 months or something like that. Does that give you enough time to analyze the 4D?
Oliver Quinn: Well, I think, David, it's Oliver here. The rig we're saying would come back probably in '26. So I think it does give us enough time and the operator to go through the 4D seismic there. I think I will say in the early kind of view of that Akpo in particular, where a lot of the early work is focused, it looks like there's some strong potential there that's coming out of that data, right? So again, on that basis, better to take a short break, go through the data properly and optimize the wells. So I think the next thing to look out for is contracting a rig to come back in '26 and then drilling Akpo Far East potentially and then other infill wells, Egina and Akpo. So it will gives that break through the end of the year effectively on the work front, if that makes sense.
David Matthew Round: Yeah. And you're not expecting any big difference between rig rates?
Oliver Quinn: That's a good question. I mean, hopefully, it will come down, but that's an internal aspiration. But no, I think the thing to watch for there is in Nigeria, there's not many deepwater drilling rigs in the country. So I think there's an optimization around rigs being in- country or available and rates. So it's going to be a timing versus rate question in terms of getting after the activity with an available rig.
David Matthew Round: Okay. And sorry, the second question, Roger, if you need me to repeat it, it was just the -- in terms of the wells at Egina and the workover at Akpo, if you're able to give us some sort of context about sort of how material or whether we could see a production uplift from those activities in H2?
Roger Morris Tucker: The wells are on now should we say. We -- all I can say is that we are pleased with the results, particularly the last well, which has resulted in an increase, if you like, on what we actually initially anticipated but it won't materially affect the outturn for the year. And as you note, we've guided to a very tight production outturn range. We tightened it up because we do have confidence post the results of those two wells.
Operator: And it appears there are currently no further questions in the phone queue. With this, I'd like to hand the call back over to Mr. Shahin Amini for any webcast questions. Over to you, sir.
Shahin Amini: Thank you. We do have a question with three parts from one of our institutional investors. I'll start off with that. First part is, has the timeline for the Namibia FID. So this is the Venus project FID changed previously early 2026 and end 2025. So I'm actually going to put that to Oliver to answer.
Oliver Quinn: Yeah. Thanks, Shahin. So I think the short answer is it hasn't changed. So I think what's important to note is the significant degree of front-end engineering work that's ongoing this year. We expect that work to conclude towards the end of the calendar year, the end of 2025. So I think there's potential for that FID to be in 2025. But I think as we said on the call, the planning case is in early 2026. But I think either way, it doesn't change the prognosis, particularly to a First Oil around 2029. It's a 3-plus year cycle time.
Shahin Amini: Thank you, Oliver. The second part of that question, I'll put that to Aldo. Could you please comment on your hedging position for the second half of this year?
Aldo Perracini: Yes. So -- as we also noted during the call and throughout the financial statements and the MD&A, for the remainder of this year, we expect to lift 6 million barrels of oil spread throughout 6 liftings. Two of those we have already lifted at the beginning of July. And out of those 6 cargoes, three of them, we have hedging, a floor price of $64.5 per barrel on average. And then we have two other cargoes also already fixed for the first quarter of 2026 at an average price close to $63 per barrel. So we are -- in the next 9 months, we have quite a good part of our production hedged, but the other part of it around a little bit more than 50% is still exposed to oil price upside.
Shahin Amini: Thank you, Aldo. And the third part of the question, and I'll open up to all three of you is, obviously, we've talked about the Preowei. But if you could elaborate more on the project optimization work that's been carried on, on the project so far and any other hurdles towards the Final Investment Decision. So Oliver, do you want to tackle that first?
Oliver Quinn: Yeah. Thanks, Shahin. So I think, again, as we touched on, I think in the prior question, start with the subsurface. I think there's work going on around the recoverable resource. And I think not -- it's early days, but that looks like there may be an increase to a degree in the recoverable resource, which will obviously help the economics of the project. And I think on the back of that, then you follow the flow, there's an optimization then through the FEED process, the front-end engineering design of the subsea tiebacks, a number of wells and scope of that tieback. So I think it's incremental work. There was significant work done in this project previously. So it's incremental and adding to that and optimizing the current development scenario. And again, we think that work will play out through the end of this year to lead to a potential FID decision next year.
Shahin Amini: Thank you very much, Oliver and Aldo and Roger. So next question, I'm going to put to Aldo. It is to do with financing and -- are there any plans to do a refinancing of the RBL facility? And if yes, what are the plans? And what is the outlook for that? Aldo?
Aldo Perracini: Yeah. Thanks, Shahin. So as I briefly mentioned, yes, I think the idea -- and we have been doing that for a decade now, and it's quite usual with this kind of structure is that every two to three years, you start looking at potential refinancing opportunities for an RBL. As we get closer to the loan life -- the maturity of the facility, our borrowing base starts to be comprised by or constrained by the loan life cover ratio. So the idea would be to evaluate several options. We are not fully focused on only one single alternative. We are exploring a portfolio of alternatives and trying to identify which one are a combination of alternatives that would fit in our company business plan and our company strategy. So we will go through these options in the near-term and then decide which one is more appropriate for the business and the company as a whole going forward. I think the good thing on that side is that we are not -- due to our strong liquidity, we are not in a rush to take any of these refinance opportunities, and we're able to evaluate the appropriate and the best strategy for the company. We have time to do that. So not compressed by any liquidity in the near future.
Shahin Amini: Associates -- well, a related question to do with the RBL facility, existing RBL facility. We have talked about this liquidity headroom on the RBL. Can you elaborate what does that actually mean?
Aldo Perracini: So when we talk about the liquidity headroom under the RBL, it's just the difference between the borrowing base that we currently have available under our facility and the amount of the RBL that we have currently draw down. So to give you an example, at the end of the first quarter, our -- the second quarter, apologies, our borrowing base was $634 million, while we had drawn down at that point only $540 million out of that. So we had an undrawn part of the facility of $94 million, which is what we're calling the facility headroom. And this money is fully available to the company if we wish to draw it down again up to the constraints of the borrowing base.
Shahin Amini: Thank you, Aldo. A number of technical questions here. Actually, one with Preowei, that's an easy one to tackle. What is the expected share of production from Preowei? I can quickly tackle that. On the presentation slides, we have indicated a peak production rate of 65,000 barrels of oil per day gross field basis and net to Meren, that would be around 10,000 barrels of oil per day. Next question is on Olympe-1X. This is in Namibia Block 2912. Oliver, any thoughts on when that could potentially be drilled?
Oliver Quinn: Yeah. So I think as we said, we've taken a drilling break on the exploration front in Namibia. Again, important to put that in context that in 2024, there were two new 3D surveys covering large portions of the block and work is ongoing to interpret those and optimize the next prospects to drill. Olympe is a leading prospect, as we said for that. And again, it's slightly different in that it's the same reservoir play, if you like, but it's a 4-way structural closure. So it offers a different kind of test, if you like, in the block. And importantly, beyond that, as that work is progressing, there are, of course, several other prospects maturing in there with significant potential as well. So I think we'd look to restart the drilling campaign in 2026. And then I think the next question to answer as the work matures is just how many wells is that because I think there's an alignment across the joint venture to fully explore the block to fully characterize everything that's in there in parallel with the Venus development. So I think exact timing confirmed on rig schedules, but it's for 2026, and it could be a pretty exciting year in terms of the drill bit there.
Shahin Amini: Very good. And Oliver, a follow-up one for you on Equatorial Guinea. Can you give any more color on the farm-out process that's currently underway? And what are the aspirations for the company in relation to that effort?
Oliver Quinn: Yes. So we've had the two positions there for a couple of years, and I think it's important to again put context on where we are. We've done a lot of work reprocessing seismic data, a lot of technical and subsurface work to unlock both the blocks. And I think that has matured to a very advanced stage. Both would be described as drill-ready, if you like. We know what we'd want to drill and what that would test. So having got that far over a couple of years, it's been a pretty extensive farm-out process in the sense of lots of companies have shown interest. I think the timing is good in the kind of bigger picture. A lot of people are back, particularly in this basin in the [indiscernible] side, looking for significant volumes. So with that, we hold effectively 80% in each of the blocks. So again, you go back to our capital discipline, and we would look to drill those at a reduced equity just from a risk-sharing perspective. And also as we've been successful in the last couple of years in attracting kind of a premium, if you like, on these opportunities, whereby our capital exposure has been reduced in most cases, to zero or at least a very, very small amount for the early phase of exploration and appraisal. So I think here, those aspirations are the same. As we said, we're mid-process. We're positively engaged with several companies. And I think we'll come back later in the year with clarity on both the farm-down position and outcome and therefore, the forward plan for the blocks in terms of drilling and capital allocation.
Shahin Amini: Thank you, Oliver. And here is the usual question on capital allocation and shareholder returns, buybacks versus dividends. I've got many, many questions, clearly from those in the camp who favor buybacks. Why aren't you doing buybacks? Do you plan to do buybacks? So there's quite a few of those. But obviously, we have to put that within the broader context of total shareholder return program we have. So I'm going to hand it over to Oliver first -- sorry, to Aldo first, and then we can go to Roger for his views on this as well. But Aldo, top one for you.
Aldo Perracini: Yeah. No, I think it's a fair question, and we are always evaluating the portfolio of opportunities in terms of returning cash to shareholders and also while at the same time, keeping in mind the strategy of the business and the growth aspirations that we have for the group. So we always discuss share buyback. I think if you look throughout this year, we have already distributed $50 million in dividends and around $8.5 million in share buybacks towards the beginning of this year. And we are on track and firm on delivering the other $50 million in terms of base dividend. Now if we go on top of that, that's something we need to continue to evaluate on a quarterly basis. And again, it's an evaluation that we do not only from a capital allocation perspective, not only in terms of distributions, but also as well with regards to the company growth strategy.
Shahin Amini: And Roger, any views on this hot debate, dividends versus share buybacks?
Roger Morris Tucker: Thanks, Shahin. Yeah. What I will say is we -- the day before yesterday, we had our second Board meeting post the amalgamation. And I can tell you that it is a rich topic of debate at the Board. And it's a topic that comes up when we have investor meetings. But currently, we are going to continue, as we've announced today with the dividend stream that we've got. And as all of you are aware, should we distribute any of the excess free cash flow, we do have the ability to issue and do a buyback program. But as I say, this issue, which is the best for the company in terms of returns policy is debated at the Board virtually every single Board meeting. And so it is right up there. We're continuing with the dividend at the moment, but we will again review it later in the year at the next Board meeting. But we're continuing with the dividend as we speak, but we recognize that there is a continual debate on this issue.
Shahin Amini: Thank you, Roger. Just a question has just come in on the deleveraging, Aldo, that we've done year-to-date. Obviously, we still have substantial cash on hand. Do you envisage paying back more of the RBL in the near future?
Aldo Perracini: Yes. So after the end of the second quarter, we made another repayment, which we have already mentioned in the presentation of $60 million. So now our drawdown portion of the RBL is around [ $480 million ]. We see scope to reduce that portion even further, including in the third quarter, but also more towards the end of the year. So we'll continue with that strategy. The amount of cash we saved in reducing interest expense is quite material. So we will continue with that strategy towards the end of the year.
Shahin Amini: Thank you very much, Aldo. There are no further questions from the webcast. So I'll hand it back to the operator and Roger.
Operator: As there are no further questions on the webcast. With this, I'd like to hand the call back over to our speakers for any additional or closing remarks.
Shahin Amini: Okay. Well, thank you everyone.
Operator: Thank you. This concludes today's conference call. Thank you for your participation. You may now disconnect.